Operator: Good day, everyone, and welcome to the BJ's Restaurants, Inc. First Quarter 2020 Earnings Release and Conference Call. Today's call is being recorded. And now at this time, I'd like to turn the call over to Greg Trojan, Chief Executive Officer. Please go ahead, sir.
Greg Trojan: Thank you, operator. Good afternoon, everyone, and [technical difficulty] conference call and webcast. I'm Greg Trojan, BJ's Chief Executive Officer. Joining me on the call today is Greg Levin, our President and Chief Financial Officer; and we also have Kevin Mayer on -- our Chief Marketing Officer on hand for Q&A. So after the market closed today, we released our financial results for the first quarter of 2020, which ended Tuesday, March 31, 2020. You can view the full text of our earnings release on our website at www.bjsrestaurants.com. Our agenda today will start with Rana Schirmer, our Director of SEC reporting, providing our standard cautionary disclosure with respect to forward-looking statements. I will provide an update on our business. And then Greg Levin will provide a more detailed commentary on the quarter and current environment. After that, we'll open it up to questions. We expect to finish the call in about an hour. So Rana, please go ahead.
Rana Schirmer: Thanks, Greg. Our comments on the conference call today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and that undue reliance should not be placed on such statements. Our forward-looking statements speak only as of today's date, May 7, 2020. We undertake no obligation to publicly update or revise any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise, unless required to do so by the securities laws. Investors are referred to the full discussion of risks and uncertainties associated with forward-looking statements contained in the company's filings with the Securities and Exchange Commission.
Greg Trojan: Thanks, Rana. As we all know, our business was turned upside down in a matter of weeks in March as the coronavirus pandemic took hold across the United States and throughout the globe. Given the business updates we've provided since the onset of the virus, I will summarize the steps we have taken and adjustments we’ve made in our business and how we are executing in the early days of the gradual reopening of dining rooms in our restaurants. We first started restricting dine-in capacities and enacting social distancing practices within our restaurants in the first 2 weeks of March. Government restrictions put in place over the following 2 weeks led to full closures of all of our dining rooms, leaving us with only delivery and takeout channels to drive sales. Pre-crisis, our off-premise represented about 10% of our revenue or roughly $11,000 per year. Our sales reached their lowest level in the fourth week of March ending 3/24, declining 82% year-over-year and reaching a weekly average of approximately $21,300 per restaurant. By mid-March, we were already implementing cost savings actions but knew we had to push further in order to conserve cash and reduce our burn rate. Early on, we quickly eliminated discretionary G&A spending, stopped all nonessential capital expenditures, including halting construction activity on three new restaurants and temporarily delaying or canceling all other new restaurant openings for 2020. In total, we currently have only one incremental signed lease obligating us to open a new restaurant beyond the three we recently postponed. We also suspended our dividend slated to be paid March 24 and future quarterly dividends and share repurchases. We scaled back our marketing and media spend significantly. And unfortunately, the severity of the situation necessitated us temporarily laying off roughly 16,000 of our approximately 21,000 hourly team members and furloughing roughly 200 of our restaurant managers. And at our restaurant support center in Huntington Beach, we furloughed approximately 20% of our staff and implemented salary reductions ranging from 10% for team members making more than $100,000 per year, up to 20% for our senior team and Board of Directors. These were difficult and painful choices for sure. But consistent with our strategy, throughout all of this to do what it takes to address the near-term challenges, while positioning BJ's to emerge from the pandemic with strength. We then set out to work on our plan to keep as many of our restaurants open as possible, and in so doing keep as many of our team members working as possible. Our first decision in this regard was to reduce the number of menu items available from about 145 to roughly 85. This enables us to provide our guests with the quality -- the quality they've come to expect, but at staffing levels well below our norm. Our operations team stepped up in amazing fashion, learning each and every day, better ways to approach and execute in this new reality. Through our operations' leadership and the hard work and problem-solving creativity of our restaurant teams, we have been able to keep all but 4 of our 209 restaurants operating to date. And the sales volumes of our off-premise business have nearly tripled since the start of the crisis to approximately $31,800. Aside from strong execution at the restaurant level, our culinary and marketing teams quickly assembled new product offerings, bundles and promotional price points that have clearly resonated with our guests. Our $6 chilled to-go entrees introduced late last fall, our half-off large pizzas all day and every day and our Family Feast, which feed four to six, have all been mainstays of our sales each day. We have also sold more of our award-winning beer-to-go than ever in six pack cans, along with new disposable growers priced attractively at $12 for 64 ounces. We've also promoted our $10 bottles of wine to-go, along with higher-priced varietals, also available at price points competitive with what guests would pay at local retail. All of which speaks to the nimbleness of our team, despite more than doubling our revenues since 2010, we've worked hard to not lose the decision-making and speed-to-market advantages we've always used to our benefit. While our overall check is a bit lower year-over-year, our off-premise check is higher by approximately 15% from pre-COVID levels due to large part to these recently launched and expanded check building add-ons. Our current level of promoted items have led to higher promotional mix, about 28% versus 12% pre-COVID. But the favorable food cost of selling a higher mix of pizza and pasta and less center-of-the-plate proteins, has resulted in a cost of sales similar to our steady state. BJ's top line growth combined with our limited menu and our operators' obsession with running our restaurants safely for our guests and team members, resulted in a reduction of our burn rate by nearly half to a level of approximately $2.5 million per week. The next phase we have begun is the gradual reopening of our dining rooms across the country. Over the last week, we opened our Texas, Florida, Tennessee, Oklahoma and Kansas restaurants to partial dining rooms. Our most substantial data set comes from Texas, which opened last Friday to dining area set at 25% of capacity. Our dining rooms are typically larger than our competitors, and we’ve less fixed boot seating than most as well. Both are nice advantages, enabling us to provide a safe environment for a large number of guests. The great news is, as we expected, guests are eager to get back out to a social dining experience, and they are doing so in a manner that respects the prudent safety protocols these times demand. Sales levels are encouraging even at these low levels of effective capacity. In early results, we've not seen a decline in off-premise sales after these dining rooms have reopened. In fact, off-premise sales are modestly higher when compared to the average sales from same days in the 3 weeks prior to the dining rooms being reopened. And remember, these off-premise sales that we're maintaining or growing are roughly 3x higher than our off-premise sales at the start of the year. So we believe the dine-in and off-premise sales are largely independent, at least in this current environment, with certain guests excited to return to our -- to the social experience of dining out and others still using takeout and delivery orders to feed themselves and their families in the comfort of their own homes. Time will tell, but we're hopeful that guests that have now enjoyed the convenience of takeout and delivery from BJ's will continue to do so in addition to dining on-site well after this crisis has passed. We have a comprehensive plan in place to ensure the safety of our guests and team members, so our great food and service can be enjoyed with a high degree of comfort and security. Our recent technology and deep digital investments are serving us well in the current environment. So we can provide our guests an experience, which is as touchless as possible. We're taking reservations by phone and through our website and app. We have moved our hosts outside our entry ways to meet our guests with mobile waitlist management devices and utilizing text communication to let guests know when they are able to be seated. In addition, we're encouraging them to download our menus to their phones via text link, QR codes and website-landing pages, which eliminates the need for any physical touching of menus by our guests and also enables us to link their check processing and payment directly to their mobile devices. And guests are quickly adopting and using digital payment as a result, which adds convenience and improved speed at the end of the dining experience. Undoubtedly, there is opportunity for further innovation as our guest preferences and needs evolve beyond this crisis. We look forward to more partial dining room openings beyond these first states and are driving to the next milestone in all of this to achieve cash flow breakeven at the company level. At our current management staffing levels, which average a bit less than 5 managers per restaurant, we believe our average weekly sales levels needed to reach needed to reach about 65,000 per week to attain positive cash flow for the company, including corporate costs and current levels of CapEx spend. We were averaging about 30,000 per week before starting to reopen our dining rooms. While it's less than a full week since Texas reopened its dining rooms at only 25% capacity, our dine-in sales in Texas are adding roughly 20,500 of additional weekly sales. As more dining rooms reopen, permitted capacities grow and we expand our menu closer to our pre-COVID offerings, we can see a clear path to reaching this next milestone in the near-term and continuing to grow well beyond it. In terms of liquidity, I previously mentioned that we're running about negative $2.5 million per week prior to dining room openings. Initially, we don't think dining rooms limited to 25% capacity will improve that run rate and in fact, may put some near-term pressure on that level as the cost involved in safely opening are significant. However, we're confident we will see steady improvement as effective capacities grow to 50% and beyond. At the end of last week, we announced an equity raise of $70 million through the sale of common stock to Ron Shaich's Act III Holdings and funds and accounts advised by T. Rowe Price Associates. We are grateful for the confidence expressed by ACT III and T. Rowe Price in BJ's long-term outlook as we begin reopening our dining rooms and continue to deliver the delicious food, excellent dining experiences and gold standard guest service and hospitality that guests have come to love and expect from BJ's. Before I turn the call over to Greg, on behalf of the executive leadership team, our Board and all of our stakeholders, I want to again thank all of our restaurant and operating teams and everyone at the RSC for their unique ability to deliver BJ's gold standard level of guest service regardless of the circumstances. We stand by each one of our team members and loyal guests and look forward to resuming normal operations as conditions permit. And with that, I will turn the call over to Greg Levin.
Greg Levin: Thanks, Greg. As Greg mentioned, these are very different and unprecedented times. I will keep my commentary on quarter one brief to provide some top level highlights before we transition into some additional thoughts for the second quarter based on what we've seen to date on recent state re-openings, including capacity restrictions and social distancing measures, as well as an update on our liquidity position. So there we’ve this situation, with the different timing of state re-openings, coupled with national state and local restrictions, makes it challenging to provide any real visibility on the second quarter earnings at the current time. Please remember that all this commentary today is subject to the risks and uncertainties associated with forward-looking statements as discussed in our filings with the SEC. From a Q1 perspective, as we noted in today's press release, our comparable restaurant sales through February were positive 1.5%. And as Greg Trojan noted, we began to see a reduction in our comp sales in the first weeks of March, as consumer worries around the virus started to impact traffic and the state of Washington began some of the earliest stay-at-home orders, followed quickly by Northern California and then subsequently, the rest of California and then the entire country. Our last positive day of comp sales was March 1, as COVID then started to dominate the airwaves, which ultimately went to all of our restaurants to only selling, food and beverage through the takeout and delivery channels. As a result, we finished March down approximately 40%, leading to a comp sales decline of more than 15% for the quarter. Prior to us switching to an off-premise only business, our margins were fairly consistent with the prior year. Cost of sales was in the mid 24% range through February, and this was offsetting rate pressures with our other operating occupancy costs pretty much in line with the prior year. As we pivoted to an off-premise only business, our weekly sales average for all of March declined to 70,000 per week, and that's compared to more than 115,000 per week in March of last year. As our business deleveraged against our fixed and semi-variable cost base, and we absorbed negative working capital costs in March as sales declined, we adjust our operations to better align with the sales levels, including a limited menu, the new scheduling requirements and eliminating all nonessential spend in our restaurants. We acted quickly to manage restaurant-level costs, resulting in improved weekly cash burn rate of the $2.5 million levels that Greg previously outlined. Additionally, as part of the temporary layoffs and furloughs, we implemented an emergency paid time-off program for team members who are not eligible for [technical difficulty]. As a result, in March, we incurred almost $5 million of additional labor expense as we paid out approximately $6.7 million to our key members, which includes the new emergency paid time-off program as well as the accrued vacation time. We have also continued to fund our portion of health insurance and offer restaurant free benefits to furloughed team members. Shifting forward to today, we’ve 65 restaurants or 27% of our 205 operating restaurants with dining rooms reopened and operating under capacity restrictions. Included in this first wave of reopening were Texas and Vista, Florida, our 2 largest states behind California. Both Texas and the areas where we are open for dining rooms service in Florida are allowed to operate at 25% total capacity. Using this most current week as a small sample, we are very encouraged with additional sales increase that we are seeing. Also impressive is that our off-premise sales volume for these restaurants have remained pretty consistent and even increased slightly week-over-week as we begin reopening our dining rooms. As Greg commented earlier, we believe that we need our sales to reach about $65,000 a week to cash flow breakeven once dining rooms reopen, and that is inclusive of rent and corporate costs. It also contemplates today's manager cards, the limited menu we have in place with some menu additions, and the additional cost for personnel protective equipment for our team members and the safety of our guests, including masks, gloves, throw-away menus, sanitizers and other items. While these are only estimates, if we continue to hold on the large percentage of our off-premise sales even as our dining rooms reopen, the incremental sales we need in our business is very attainable in order for us to return to generating positive cash flow. In regards to liquidity, we currently have $134 million on our balance sheet and that includes the net proceeds from the equity offering and the full drawdown on our $250 million line of credit. We also amended our current line of credit to provide additional flexibility for us during this time. As part of this amendment, our leverage and fixed ratio covenants have been raised for the second and third quarters and reset starting in the fourth quarter on an amended basis and beginning really with November's results. For more details on our amended credit agreement, please see our filings with the SEC, which we filed on Monday, May 4. In regards to capital expenditures, we have stopped our initiative CapEx for the time being. We do have one restaurant under construction, which is close to 80% complete and currently anticipate opening this restaurant sometime later in this year. This restaurant is in the Cleveland market, and we own the underlying land. So we have total flexibility as to when we will open this location as well as the opportunity to monetize the underlying real estate, if we so choose. Let me wrap up with a couple of thoughts before we turn it over to questions. As Greg Trojan mentioned, the passion and commitment of our team members is unparalleled in casual dining. We are able to pivot our operating models to accommodate the safety of our guests and our team members, while simultaneously growing our off-premise sales by nearly 200%. We are now beginning to slowly reopen our restaurants based on the local ordinance in the communities in which we operate. Our leading-edge investments in technology allow us to provide our guests as digital check-ins, digital menus and digital payment options directly from the phone but do not take away from the personal service level our guests expect from BJ's. Additionally, our large restaurants with flexible seating give us a competitive advantage to be able to welcome more guests back into our restaurants to enjoy the great BJ's experience, beer and service in a dine in setting. Combine these attributes with our strengthened balance sheet and BJ's ability to take advantage of the opportunities to continue taking market share in the casual dining industry for years to come. With that, I would like to open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] And we will first hear from Jeffrey Bernstein of Barclays.
Jeffrey Bernstein: Great. Thank you very much. I had a couple of questions. One, obviously, in terms of the most recent investment you took in, clearly Ron Shaich as a pioneer, and we hold them in high regard from a digit pass, so congratulations on that. With that said, I'm just wondering how you evaluate the different funding options you had in front of you before ultimately deciding on that particular investment?
Greg Levin: Yes. Hey, Jeff. It's Greg Levin here. Great question. I think like we’ve seen across the industry from Garden to Shake Shack, The Cheesecake Factory, just recently with Brinker, we evaluated a combination of different opportunities out there. I think we basically felt that it is important to really have a -- to have basically a clean balance sheet. I think as a continuing growth company, with a lot of opportunity out there. We felt that straight equity was a better way to go for us. It allows us to really maintain, as I said, a simple capital structure, that’s [indiscernible] additional costs. And therefore, as we move through this current pandemic and actually get to the other side of it, it allows us, I believe, more flexibility to continue executing on our longer-term amount of growth plans.
Greg Trojan: And look, Jeff, I mean you said it, the other element of years being able to attract Ron and his team and the experience they have, think about the path of growing off-premise that drove so much growth at Panera's overlaps a great opportunity for our concept as well, and we look forward to so tapping into that knowledge and experience in other elements as well. And then you guys are well aware of T. Rowe's track record and depth of experience in the retail restaurant space. So we are really happy to have two investors of the caliber of both ACT III and T. Rowe joining our team to an even greater level.
Jeffrey Bernstein: Understood. And then I'm just curious to your thoughts in terms of your ability to retain the current 30-some-odd percent of your former AUVs that you're now generating with to go, while at the same time, reopening your restaurants. I'm just wondering, obviously, the early states and maybe you're only opening up 25%, so maybe that definitely helps. But in terms of your confidence level being able to sustain the to go component of your business, while at the same time, growing the dine-in, any thoughts there in terms of your ability to do that as more and more states open up and maybe you can open up at closer to 50% capacity.
Greg Trojan: Yes. That’s a good -- really good question. And look, we're only, as you said, a few days into this experience. But my perspective has always been, and when we talked about off-premise and delivery in the past, you will remember me being very vocal about these are different occasions and are driven by different guest needs, and as such are a lot more incremental and differentiated than they overlap. And we've shown that as we've grown, takeout up to this point. As you remember, we started this journey at about 5% of sales in off-premise, and we had doubled that before pre-COVID. So -- and every piece of evidence and data we've looked at tells us that we did not cannibalize in-restaurant dining while we did that. So I don't think -- it's not my expectation that we will hold on because of the uniqueness of these circumstances, obviously, that we are going to hold on to all of the dollars that we've grown to here. It's certainly been pleasant that we have in the early, early days here, and it's a good indicator. But I do think we're going to hold on to a whole lot of it. I think the trial we've generated and some of the innovating we've done around product and pricing is going to serve us. And I would also say alcohol delivery, the latitude from a legal perspective of most states and municipalities loosening liquor delivery laws and takeout laws has really opened up an opportunity for us to, particularly on our beer side, of things to deliver six packs, which we've been doing for a while now. And also the growler sales have been impressive. So I do -- I'm very optimistic about continuing to grow and just accelerating the growth of off-premise in this journey.
Jeffrey Bernstein: Got it. And just my last question. I'm just curious in terms of the pace of the recovery. I think you said you bottomed it down 82% in late March. And now you're in the down 68% range, I guess, in early May. So it looks like maybe a 15 percentage point improvement. I know some of your peers have gotten comps into the down only 40-or-so range. I'm just wondering what you think differentiates or leads to the differential in your pace of recovery thus far only with to go relative to some of your other casual dining peers? Thank you.
Greg Trojan: No, thank you. Thanks for asking that question. So look, structurally, you have to remember a couple of different things about BJ's. One is the amount of consistent business we do throughout the day and shoulder periods. And particularly late night, the amount of food and beverage we sell late night, all of which are highly experiential occasions, right? Those can't be replicated in a takeout or a delivery kind of order. And -- so that's the biggest reason you see us from a comp perspective look lower. Our rate of growth in off-premise has actually been higher than the industry. But the sales fall because of the dynamic I mentioned, and the fact that we, as you've known us a long time, you know that we do a high alcohol and beverage mix of much higher than other concepts as well, which is -- we're never going to duplicate, duplicate that kind of beverage consumption in an off-premise way. So all of that works into a percentage number from a comp perspective of a follow up that's going to be a bit more than others.
Greg Levin: Yes. Hey, Jeff, it's Greg. Just to -- and specially back to the [indiscernible] estimates. If I take up our late night business, which virtually does not exist today, and kind of looked at comps for the last week in that regards, last 1.5 weeks, we've actually been down somewhere kind of negative 43%, 45% range. So probably a little bit more in line with our peers, but we just have a segment of our business today that frankly is 0.
Jeffrey Bernstein: Very interesting. Thank you for the clarity.
Greg Trojan: Good question.
Operator: Sharon Zackfia, William Blair.
Sharon Zackfia: Hi. Good afternoon. Can you -- obviously, you did a good job being nimble in this environment. But trying to get a handle on where your G&A run rate is at this point. It was really low in the first quarter relative to what we've been expecting. So if you could kind of help us understand what the right current G&A run rate is, that would be helpful. And then just wanted to understand when you're reopening in Texas, are you reopening with the full menu? Are you still using that curtailed menu that you've had for off-premises?
Greg Trojan: We are opening with the same limited menu. It's another great question, Sharon. So that, as I alluded to in my remarks, is some upside for us. Because a lot of our favorable center-of-the-plate protein items in that we've worked so hard at growing the last few years, particularly our slow-roast items, our prime rib and Tri Tip that have been so successful or not on our menu right now. So we look forward to when we see a line of sight around how dine-ins really going to settle in from a traffic perspective, and then also supply chain, restart-up, all that stuff. But that's real -- that's obviously significant upside for us.
Greg Levin: Yes. And Sharon, it's Greg, or the other Greg here. I would probably say that the first quarter because of the way this -- obviously, this market came down, we’ve -- and this happened to us from time-to-time, we’ve that deferred comp plan. And as a result, when the market comes down, we get excited in G&A. At the same time, we have to take in expense and other income, and you can kind of see that on our P&L year-over-year. That was to the tune of about $2.5 million. That's why G&A looks so low or one of the reasons G&A looked so low in the first quarter. If you get into the second quarter to forward, we're probably closer to about a $13 million a quarter run rate.
Sharon Zackfia: Great. Thank you. And then did you -- I didn't hear this, but maybe you did mention that out of the off-premises customers you're getting, do you have any intel on kind of what percent of those might be new to BJ's?
Greg Levin: I don't know the answer to that. I would tell you our loyalty is up from a frequency standpoint. We're seeing a nice increase in loyalty guests. We can reach out to them, obviously, very effectively through our loyalty program. So we're starting to see nice increases there. Other than that, I don't know. I couldn't speculate what's a new guest.
Sharon Zackfia: Okay. Thank you.
Operator: And next, we will hear from John Glass of Morgan Stanley.
John Glass: Thanks. Good afternoon. Hope you are all well. Greg, you talked about some potential start-up or restart costs as you open dining rooms. Do you have a sense of what those are and maybe thinking about like labor dollars per week or something? And are there any issues of getting employees to come back inside and work dine-in once you've heard anecdotally that there is some concern for obvious reasons that working inside may increase risk, and you have to either clean more, or is there any issue that attracting and re-attracting those employees?
Greg Trojan: I will answer the last one first, John. As we really haven't experienced that yet, generally, I think, it's an industry concern, particularly given the unemployment subsidies that are in place. You could argue there is an economic disincentive to go back to work for a while. But we’ve not experienced that as we brought some people back as we have opened dining rooms. So I think people who are looking in the medium to longer-term are like, listen, this is a place I like to work and I want a job. So that’s been good so far.
Greg Levin: Yes. As far as the first part of your question, John, because it appears that we're going to be opening restaurants in a social distancing way, it doesn't look like there's much training costs as you're bringing people back. Ultimately, we are bringing individuals that have worked with BJ's. So the training on that from an hourly standpoint is pretty minimal. We haven't really seen it in our Texas or Florida restaurants as of yet. And I think that's probably going to be the case, again, because the restaurants are going to be opened up in a social distancing type of thing. Outside of that, though, as I mentioned in the call today, we are having -- obviously increased the cleaning sanitation in our restaurants, whether that's gloves, masks and other things. And we do expect to see that incremental costs come through in the operating occupancy side of our business. I think everybody is going to, in the restaurant space, see that for a while until that gets through everybody's supply chain in more of a normalized cost within the business. So generally, I think you see a little bit more on the operating and occupancy cap side today than you can see maybe in labor.
John Glass: Thank you. And just one last question. I understand job one is to get the restaurants back up and running and real estate and community development has been pushed too far. But as you think about -- if you've had time to think about how these may look different, either real estate site selection or format of the store, do you anticipate changes to how the furloughs work or the sites you select just based on this experience and maybe potentially permanent changes how consumers behave?
Greg Trojan: John, it's a great question. We do, and right now, probably in our spare time, I think -- it's a bit about, I think there's a lot more -- obviously, that one change then will change. And the primary reason I say that is the foundation of our dining room experience is highly social, and I don't think that's going to go away. I mean there is the fundamental of going out with friends and family. In the near-term, you've got to make sure that appears and actually is a super safe experience, obviously. But that's what people are yearning to do. And for that reason, those elements of our business, fundamentally from what -- how we build our restaurants and maybe where -- also where we're building, maybe not so much. But I do think, as you know, we've been on this road of how can technology make this experience a better one and not at the detriment of hospitality, but increasing the convenience and just dipping away with some of the pain points of dining in a restaurant. And our hope is that this current experience will accelerate some of that from a technology perspective. I mentioned some of these things that we are doing around a downloadable menu that our guests, so far, again, very early on, are -- really appreciate. I’m not having to touch a menu, but they are also finding the experience to be pretty convenient. And when we can tie that mobile device to a guest that leads to payment and other elements that can drive more convenience, that's the kind of stuff that I think will change the experience and for the better. And then the obvious one is continuing to -- I think this will involve more physical changes, if as off-premise reaches these kinds of numbers. And in fact, we are able to hold on to -- of the majority of these dollars, that will necessitate -- we started going down that path and have put some CapEx behind expanding our takeout areas and our kitchen -- in situating our kitchen lines to accommodate these kind of volumes, but this will require further changes on that side of the business.
John Glass: Thank you.
Greg Trojan: Thank you.
Operator: Next we will hear from Jeff Farmer of Gordon Haskett.
Jeff Farmer: Great. Thanks and glad to hear that everyone is well. Guys, so for those 55 restaurants that have reopened to in restaurant [technical difficulty] constraints come into play. And what I mean by that is, was there an actual wait to get in those restaurants? And were there any common themes for those locations in terms of those that sell the strongest and weakest in restaurant traffic levels?
Greg Trojan: Jeff, I would say, as is usual, we are going to see some level of waits. But it was pretty even flow on over the weekend, which is really the test of that. We were running -- keep in mind, there is something we didn't really asked in our remarks. It's not typical that we're taking in the level of reservations that we are taking now. In fact, we are encouraging guests to reserve online or just call the restaurant, so we can better manage that flow. Because honestly, one of the things we are worried about that's going to be tougher to manage is we can't queue people in our waiting areas, right? So we are having our folks literally outside the restaurant, meeting folks as they are coming up and then using text to let them know when they can come back to the restaurant to be seated. And so far, it's been, like I said, because of reservation that I think people are easing back into this. We -- again, we are encouraged by the sales volumes. But it was -- like I said, it was pretty evenly paced. And then your second question, it's too early to tease out much of the -- if this is true of our business in general, is we have obviously higher volume restaurants and those that are lower around our averages. But we -- our extremes are not that extreme. And so we didn't see something where initially, you're like, wow, urban, you might think more dense urban areas versus some of the counties in Texas where they've had like such a low level of infection rates or whatever may have been different was one theory. But that, not yet. Nothing that stands out this early on.
Jeff Farmer: That’s helpful. And just one other follow-up. So you guys touched on this, but in terms of thinking about that off-premise sales growth, any color in terms of how much of that growth was driven by curbside versus delivery?
Greg Trojan: Yes. Yes. About 70% of our increase is coming from takeout, interestingly. So that is almost threefold and delivery is still up nicely, at about 90% of the pre-COVID rates, but is about 30% of the incrementality.
Jeff Farmer: Okay. Thank you, guys.
Greg Trojan: Okay.
Operator: David Tarantino of Baird.
David Tarantino: Hi. Good afternoon. Hope you both are doing well. My question, I have a couple of technical questions. So on Texas, I think you mentioned the $20,500 lift in average weekly sales. Could you maybe frame up what that means relative to what the prior dine-in business looked like a year-ago?
Greg Levin: I'm sorry. Jeff -- David, you -- can you ask the question again?
David Tarantino: Yes, I'm sorry. It's the pitfalls of working at home. The $20,500 in average weekly sales, you mentioned for the Texas dine-in business that you're seeing. I was wondering if you could tell us how that compares to what the dine-in business in Texas and those same restaurants was a year-ago, just so that we can frame up what percentage of the volume you've recovered I guess, apples-to-apples versus the dine-in business a year-ago?
Greg Levin: Yes. I don't know if I have that. I am just trying to see if I have something on that. The better way I would say it is Texas has been down the last couple of days from a comp sales perspective, something in the negative 45% range. I would probably -- it's how we think about it that way. I don't have, in front of me, the difference between takeout or off-premise, let's call it, and dine-in of last year. I just kind of have an absolute and where that new dine-in room sales were.
David Tarantino: Got it. Okay. That’s helpful. And then I guess, are you getting guest feedback on the experience in these restaurants as you reopen them? I’m curious to know if -- what the reaction has been to all those social distancing efforts and what the experience is like in their view, if you have it. And then, I guess, if there's anything you can share on how they are using the restaurant, either the same or differently than they did in the past, whether it's by day part or mix or anything like that.
Greg Trojan: That's a great -- really great question. We can answer the first one better than the follow-on there, David. The -- because, look, people are wearing masks in our restaurants. They have gloves, we are asking them to download. There is a lot that's different than just weeks ago, right? And we -- listen, it's kind of a -- you have guests that are willing to be in the restaurants to begin with, it's not the general population, right? So you have folks that have an expectation of like okay, I'm going out in the world here. So it's not necessarily representative of all of our guests. But having said that, people were actually not just receptive, but glad we were doing what we were doing because it made them feel safe. And I think the visual cues and the actual things that we are doing, unless others are doing a lot of them as well, right, are reassuring people. And so -- so far, again, I think it's encouraging that the number of people that are going out are going out. And I think the guest experience is one that people are going to come back for. It's not like, wow, this is so compromised on that. That's just our anecdotal from our restaurants, from our teams. What we're hearing is people are just glad to be out, and they're going to come back.
David Tarantino: Right. That's interesting. And then Greg Levin, do you have a rough ballpark for what the restaurant contribution margin looks like at the current sales volumes for the industry overall, not just Texas but mainly for your chain overall. And then what that would look like or what levels needed to break even specifically at the restaurant level?
Greg Levin: Yes. I don’t have at the current level of 45 [technical difficulty] business. We think we need to be $55,000 to be cash flow neutral at the restaurant. And then we need that additional $10,000 to move us up to $65,000 to get us to cover our G&A and other costs around CapEx is another thing.
David Tarantino: Okay, great. Thank you. Thank you both very much.
Greg Trojan: Thank you.
Greg Levin: You’re welcome.
Operator: Nicole Miller of Piper Sandler.
Nicole Miller: Thank you. Good afternoon.
Greg Trojan: Hi, Nicole.
Nicole Miller: Hi. Thanks for the time. I want to understand the limited menu. What are you learning, or what is that informing so far about margin, speed and accuracy? Obviously, it's very early days, but how do you think about a stage reintroduction versus perhaps elimination of certain items or even platforms?
Greg Trojan: Yes, another really good question. Look, there's -- we are not just -- to start with the end point, we are not going to rush to institute our full menu all at once. And we will look at it in stages, for sure. And as you know, as you've been following our story a long time, we've been on this course of trying to reduce the number of items on our menu prudently, where our level of about 145 compares to 180, 190 previously. So we're going to look at it and analyze it on all different dimensions, certainly not led by cost but by sales. And I think it represents an opportunity to take another step forward on reducing complexity, while making sure we don't compromise one of the best attributes of our concept, which is variety, right? So I mean the short answer is we think there is an opportunity to end up and stop short of where we were before the prices here, to the benefit of consistency of quality, team members, etcetera.
Nicole Miller: Thank you very much.
Greg Trojan: Thank you.
Operator: Jon Tower, Wells Fargo.
Jon Tower: Great. Thanks for taking the questions. Just a few for me. First, curious, I think Greg Trojan, you had mentioned earlier that at the 25% capacity levels in Texas, you're not making -- you're burning through quite a bit of money in that market. So I'm just curious to know why reopen full dining rooms if you're still burning pretty significant levels of cash in that market versus just keeping the off-premise going? And I got a few more questions after that.
Greg Trojan: Well, just for clarity, I didn't say we were burning through a pile of money. I said it was going to not -- greatly influence our burn rate and they put a bit of pressure on it. But we felt like the trade-off of learning, we think those capacities are going to grow sooner rather than later that, that we wanted to get team members back to work. We wanted to continue the momentum. We don't think we're taking undue risk in doing that financially. And I think the benefits of learning operationally how to get better because -- now look, we do think we are in this for quite a bit of a period of time. That we're in a world of social distancing, operating differently for a long time. And so we thought the trade-off of starting in Texas was the right thing to do there. And we are learning a lot, and most of its been exceeding our expectations from a guest perspective.
Jon Tower: Okay. Thank you. And then kind of following that similar thread. Thinking about your business longer-term and how it's going to change, I know it was already asked about how your stores might look. But I'm kind of curious to think about the company as a brand in and of itself. Obviously, you've got a strong beer business that's out there. Has this kind of changed your thinking about maybe extending the brand beyond the four walls and potentially going after new revenue streams, or is it sticking within the four walls and focusing purely on the restaurants?
Greg Trojan: Hey, [technical difficulty] because I think what others might be missing here is we are optimist around people gathering and socializing and enjoying food and drink. Like it's one of the oldest, most important elements of being a human being, and it is not going to go away. So are there going to be challenges and timing and all of that? Yes. Well, people -- will some of this induce changes that may last a long period of time? Yes. But they're not going to impede our fundamental business model of people wanting to be in a restaurant, having good food and award-winning beer. So that is a very strong position that we have as a company, I have as our CEO. I do think, look, what we are looking at other revenue streams, and they are not mutually exclusive, right? So I think looking at the popularity of our beer that we have started to sell in retail over the last couple of years, as an example, there's probably other things that we can be doing with our Pizookie franchise outside of our four walls. So yes, we do think there are opportunities to do that. But not a -- not driven so much because we think dining in is going away.
Jon Tower: Understood. And I appreciate that color. The last piece kind of carried on that same line of thinking. Curious to -- you've mentioned earlier, just the idea that it's going to take a while for things to return back to normal. And a lot of the commentary in the industry so far is perhaps that the independents, particularly in the full-service sector, might have a difficult time of reopening and staying open for much longer. So I'm just kind of curious if you could perhaps put some numbers around in your -- around your stores, do you have a general idea of the competitive set from the independents within, say, a three to five mile radius of your stores across your system?
Greg Trojan: No. We really don't, actually. It's a valid question, but look, I don't -- it does vary by market where you see more chain representation in Texas as opposed to the Northeast just anecdotally because of probably obvious real estate development and other reasons. But we don't look at it on a trade area, market-by-market basis in that way. It's an interesting question, but we don't have much to offer you there.
Jon Tower: Okay. Thank you. I appreciate it and good luck.
Greg Trojan: Thank you.
Greg Levin: Thank you.
Operator: Matthew DiFrisco, Guggenheim Securities.
Matthew DiFrisco: Thank you. My question is a couple of follow-up ones there. I just want to be clear. With the $25,000 from the 25% capacity added in those Texas stores, those stores saw a greater cash burn after the dining room opened? Is that correct?
Greg Trojan: No. So just -- what we're saying is, don't expect us to convert to a wildly different burn rate immediately based upon that sales increase because of the cost of, really, the incremental cost of opening at those volumes, right? It's still only $20,000 a week, right? So -- and the cost of the supplies, etcetera, is not going to wildly change the $2.5 million burn rate until that number grows. That's really all we are trying to say there. Don't -- it's not based upon after a few days scientific analysis of our P&L. We realized the cost of the supplies, etcetera, that Greg outlined. And we know the business well enough to tell you, it's not going to be wildly incremental at those numbers. It may put a little short-term pressure, but it's not -- we wouldn't be doing it if we thought we were going to change our burn rate significantly.
Matthew DiFrisco: And then I think [technical difficulty] asked before a little bit about when you have the $25,000 from the dine-in business. But then I think, Greg Levin, you said those stores were doing down 45%. So are those stores seeing growth in specifically in their delivery business, or are we just talking in aggregate, the brand itself? So I'm Just trying to understand what the actual stores that have the dining room business.
Greg Trojan: Growth actually. It's $20,500, just to be clear, not $25,000. But we are saying in those stores, so far, those restaurants have seen continued growth. Again, we are talking days here, but that takeout and delivery grew in those restaurants.
Greg Levin: Yes. I think it's important, Matt, when we think about that $20,500, Greg Trojan said again, we are talking days. Texas opened up their dining room last Friday. So we’ve Friday through today that we are giving you data for -- information for. That number could widely change next week. Both positively and negatively. So I just want to make sure that we talk about that. We've added -- when we look at Texas since last week, having dining room opened, it added about $20,500 to their sales levels versus what they were doing before.
Matthew DiFrisco: I appreciate that. You guys are ahead of the curve on telling -- no one's given us anything insight into since dining rooms have opened. So greatly appreciated that you've given us that. But I'm going to ask another probably annoying question along those lines, though. Can you tell us a little bit about that, guest, compared to your prior late night dinner or lunch breakdown, anecdotally or maybe hard numbers, what you've seen, how the guest is using you more in dinner, more in lunch or -- and absent late night? How does that sort of fall out that 25% capacity being used compared to your prior business? Thank you.
Greg Trojan: Well, it's a good question there. I don't know if we know the answer. I could tell you before we opened the dining rooms, we saw most of our growth as dinner, which was probably what you'd suspect. But it also brings up a good point, Matt, is we're not opening late night. We are only staying open until 10 and 11 on weekends in most of these restaurants. So we're not opening to the true late night that we have traditionally here. And I would suspect, again, we will have a little more time to go by. I don't think that late night business, I think that's still going to be a more impacted side of the dine-in business that we've seen. It quiet down earlier than it normally would [technical difficulty].
Matthew DiFrisco: Excellent. Thank you so much.
Greg Trojan: Okay.
Operator: Next, we will hear from Todd Brooks of CL King & Associates.
Todd Brooks: Hey. Good evening, everybody. Hope you’re well. Two questions on a different vein, but they're linked. One, if you could walk through just what the reality was of approaching your landlords and trying to renegotiate either abatements in rent or deferrals to maybe the end of the lease period, how collaborative that was? How you felt going to them, how successful you were? And then secondly, just in negotiating the amendment for the credit facility, same type of question. How is it working with your lender partners? What did it cost you to get the amendment? And I guess, how much recovery do we need to see to clear the Q4 covenants, which sound like they're set to a more flexible level. Thank you.
Greg Trojan: Just in terms of the landlords, those discussions are truly ongoing. A number of our restaurants have said, look, we hear you. Let's let a little -- I would say the majority of our restaurants or landlords reacted in that way to say, okay, we hear you. We understand what you're going through. We are not going to take any -- make any broad commitments. Let's let a little time pass. And I think more of those substantive ongoing, what the world might look like between us and landlords is, like I said, both ongoing and really starting to occur more now than it was -- than they were 4 or 5 weeks ago. And look, we have high-volume restaurants, right? And have been great tenants for a long time, and we have some great landlords on the other side. So we have an asset in terms of those relationships. But look, it's not a happy time for either party on the side of that conversation. So I would just tell you, it's ongoing and active in that regard.
Greg Levin: Yes. And Todd, on the banks, look, I think the banks understand that there are a lot of really good businesses out there. And everybody is going through a period where the entire U.S. economy/world economy is shut down and not in any fault of the businesses. And so our working with the banks has really been around that, they've been very flexible. We try to reach agreements that make sense for parties. They knew going or prior to COVID out there that BJ's really maintained, they have a very unlevered balance sheet for the most part and a solid financial positioning. They took that approach as we worked through to come up with a covenant agreement that made sense for both parties. So I don't think it was -- it has been crazy for both sides. I think we're trying to figure out how we can manage this through and make sure that BJ's has the flexibility to continue to operate this business. So that when it comes out of it on the other side, both parties are in good shape and good standing and really how the approach will.
Todd Brooks: Okay, great. And just on the -- when we get back to having a covenant in place in December, can you talk about where kind of weekly sales volumes need to get to clear that hurdle or any sort of color you can give us there?
Greg Levin: I wouldn't go into that much specifics on it, but it really starts in November for us. As we start to look at it and we're taking leverage ratios up. Probably, you can see that all that information in our filing from that perspective. But based on all of our analysis that we've done, we are not expecting us to be in a position of putting up comp sales positive in November and December of this year. We still have ourselves negative from that perspective. I think 2020 is probably going to be a little bit tougher year from that standpoint. I would say, I do expect all of our restaurants to be opened by November and December this year. But I'm not expecting it to be a positive comp sales quite yet. And therefore, as we look through our covenant calculations, it's based on still a pretty significant decline in comparable restaurant sales into the November and December timeframe.
Todd Brooks: Okay, great. Thanks for the color.
Operator: And our next question comes from Chris O'Cull of Stifel.
Unidentified Analyst: Hi. Good afternoon, guys. This is actually Alec on for Chris. Just had a question on the sales of beer outside the restaurants. Are there any restrictions on that? And how much of it is that contributing to your off-premise sales right now?
Greg Trojan: There -- as you probably know, tight house laws vary by jurisdiction, states, counties, cities, etcetera. So they're all over the place. The -- I think the most important thing to know is many, many of those jurisdictions loosened, maybe is the best word, but the paid delivery and takeout, legal. And as a result, that's helped us grow that area of our business. It's still down versus -- it's one of the areas most impacted because of the dine-in incidence is always going to be so much higher. So it's hard to quantify it as part of our growth, but it has grown off-premise. I don't have that number at the top of my head. I do would also add that would be my expectation, and this is just conjecture that the legislative bodies or powers that be, you're going to see that the world is not a worse place as a result of people being able to obtain beer through delivery and takeout. And I think the public outcry, if you were to go backwards on that front, would be a high level. So a little bit of us we're hoping, but would also be expecting that a lot of those will stay in place -- out of post-crisis year.
Unidentified Analyst: Okay. And just one more following up on that. It seems like in the current environment with gatherings limited and off-premise usage increasing, it would kind of lend itself well to that beer club subscription you were planning on piloting later this quarter. Is there any update on that? Is that still planned? Any trial beyond California, or any update there?
Greg Trojan: No. It's a good observation, and we agree with you. But given the priorities of all that we’ve been grappling with here, we postponed that rollout and testing in California. But it's -- I would say it was in the eighth inning plus, even the top of the ninth ready to go. So as soon as we have some -- a little more stability in dining rooms -- dining rooms have to be open for people to come in and pick up their beer, etcetera. So we are as anxious as you to get that going, but we don't really have a timeframe yet.
Unidentified Analyst: Okay. Thanks, Greg.
Operator: And there are no further questions at this time. That does conclude today's conference. Thank you all for your participation. You may now disconnect.
Greg Trojan: Thank you everybody.
Greg Levin: Thank you.